Operator: Greetings and welcome to GMS Incorporated First Quarter Fiscal 2022 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Carey Phelps, Vice President of Investor Relations. Thank you. You may now begin.
Carey Phelps: Thanks, Daryl. Good morning and thank you for joining us for the GMS earnings conference call for the first quarter of fiscal 2022. I’m joined today by John Turner, President and Chief Executive Officer and Scott Deakin’s, Vice President and Chief Financial Officer. In addition to the press release issued this morning, we have posted PowerPoint slides to accompany this call in the Investor section of our website at www.gms.com. On Slide two, on today’s call, management’s prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties, many of which are beyond our control and may cause actual results to differ from those discussed today. As a reminder, forward-looking statements represent management’s current estimates and expectations. The company assumes no obligation to update any forward-looking statements in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the company’s filings with the SEC, including the Risk Factors section in the company’s 10-K and other periodic reports. Today’s presentation also includes a discussion of certain non-GAAP measures. The definition and reconciliations of these non-GAAP measures are provided in the press release and presentation slides. Please note that references on this call to the first quarter of fiscal year 2022 relate to the quarter ended July 31, 2021. Finally, once we begin the question-and-answer session of the call, in the interest of time, we kindly request that you limit yourself to one question and one follow-up. With that, I’ll turn the call over to John Turner. JT?
John Turner: Thank you, Carey. Good morning, and thank you all for joining us today. We hope that you have had an enjoyable summer and that your family, friends and colleagues are remaining safe and well. If you move to Slide three, the strong momentum we had exiting fiscal 2021 continued through our first quarter, with net sales topping $1 billion for the first time in our company's history. Moreover, through outstanding execution and our intense focus on delivering superior customer service, our team capitalized on continued strength in the residential market and inflationary pricing environment and solid demand for our core and complimentary products resulting in strong profitability. Specifically, we delivered record levels of net sales, net income and adjusted EBITDA with sales up meaningfully in each of our four reporting product categories. We realized higher than expected gross margin of 32.2% as year-over-year increases in ceilings, steel framing and complimentary products, partially offset pressures on wallboard margins, principally due to the timing of our passthrough of supplier pricing actions. Continued cost discipline, and the outpacing of product inflation relative to operating expenses enabled us to improve SG&A and adjusted SG&A as a percentage of sales for the fifth quarter in a row. While at the same time, we maintained the customer focus that continues to differentiate GMS in the market. As a result, adjusted EBITDA margin improved to 12.3%, 200 basis points over last year's first quarter. Also contributing to our strong start to fiscal 2022 was our continuing platform expansion activities, enhancing our product offerings and broadening our service territories in numerous geographies. There's no question that we are still living in dynamic times with continued strength in the residential market, contracting the lingering softness in commercial. Despite supply chain disruptions in the inflationary environment, the residential market remains strong and future indicators of sustained growth are mostly positive. While some builders in the near-term temporarily paused construction, as material costs skyrocketed and labor was constrained, others continued to build. Solid demand for both new and existing homes continues, as evidenced by the reporting from publicly held builders and the National Association of Realtors and the outlook for relatively low interest rates remains intact. In commercial, we have seen promising activity in certain sectors, such as those projects supporting education and government, technology, healthcare and smaller retail on office tenant improvement. New and repair and remodel activity for larger office space and hospitality remains muted in many markets as developers are facing higher material costs and many large office tenants have not yet cemented their return to office plans, contributing to the holding pattern in these projects. Looking forward, however, the Architectural Billings Index has posted six consecutive months of increased billings, as well as growth in inquiries which have been broadly distributed across the country. Similarly, our internal measures of bidding and backlog are starting to improve but the timing and the reality of these quotes turning into projects is yet to be fully seen. Of course, this growth follows 11 months of material decline in this indicator and put in place non-residential spending has yet to show growth on a year-over-year basis since the start of the pandemic in March of 2020. This said, the Architectural Billings Index has always been the benchmark for future commercial activity and continued strength will eventually lead to a commercial recovery. On the supply side, across our end markets, product availability continues to be constrained in many areas. Notwithstanding, our scale has been a key competitive advantage and our results this quarter are indicative of our relative ability to secure and deliver product. Our team continues to navigate challenges as we provide the outstanding level of customer service that is foundational and distinctive for GMS. Commercially, we continue to reposition our resources to capture demand, where it is strongest, demonstrating the agility of our capabilities and business model. And operationally, we have effectively partnered with our suppliers and customers to ensure delivery and fulfillment. Moving on to Slide four, our strong quarterly results were also representative of our continued focus on the execution of our strategic priorities. First, expanding sharing our core products, particularly in geographies where we are under penetrated. During the quarter, each one of our core products delivered strong net sales growth and positive volume growth, demonstrating our team's success in growing our reach and customer base. Second, growing our complimentary products to diversify and profitably expand our offerings. With strength in products such as tools, insulation, joint treatment and lumber, we recorded 27% sales growth for the quarter in our complimentary products, marking the fifth consecutive quarter of growth in this category. Third is our platform expansion. We are expanding our platform through accretive acquisitions and greenfield opportunities, while maintaining discipline in managing debt leverage. During the first quarter, we made significant strides in expanding our reach and enabling enhanced service to our customers with the opening of five new greenfield locations and the completion of two important acquisitions. Notably, on July 1, we added Westside Building Material to our distribution network, including nine locations in California and one in Las Vegas, expanding our presence and reach into critical and previously underserved markets. Westside recorded roughly 200 million in sales for calendar year 2020 and appears on pace to exceed that number in 2021. Also during the quarter, as further expansion of our complimentary products, we acquired architectural coatings distributors, a specialty eaves and stucco operation, and providing a platform for further expansion in the Northeast Ohio market. This transaction provided us the opportunity to advance our exterior envelope capabilities in that part of the country. Even with a slight pause in M&A activity at the outset of COVID, we have added 35 new locations to our footprint in just the last few years. Looking forward, we maintain a robust M&A pipeline with a focus on opportunities to create shareholder value. Building Materials continues to be a highly fragmented industry with opportunities to enhance our complimentary product offerings, deepen the scale of our core products, and reach customers beyond our current service territories. Our strong balance sheet and liquidity position provides us the ability to continue to pursue both organic and inorganic opportunities. And the fourth pillar in our strategic priorities is to leverage our scale and employ technology and best practices across the business to drive improve productivity and profitability. We are driving purchasing efficiencies, enhancing our pricing practices, providing improved transactional efficiency and effectiveness for our customers and supplying our team with the tools and data to make informed business decisions all with the intent of improving our value proposition for all stakeholders. These efforts are focused on lowering our cost of doing business, delivering superior service, or both. With that, I'll now turn it over to Scott to provide more perspective on our financial results for the first quarter. Scott?
Scott Deakin: Thanks, JT, and good morning. Looking at Slide five, net sales increased 29.8% for the quarter, to just over $1 billion rising 23.2% organically. This exceeded our expectations for the quarter as we benefited from continued strength in the residential market and heightened inflationary trends in the marketplace. Adjusting for one last selling day year-over-year, net sales increased 31.9% with daily organic net sales increasing 25.2%. From an end market perspective. in the U.S., for example, residential sales showed considerable strength up more than 30% on both higher volume and price, or commercial sales, which were also up double digits that continue to be sluggish from a volume perspective but we're up overall on higher pricing. Wallboard sales of $390.1 million increased 18.9% or 14% on an organic basis, comprised of a 12.5% increase in wallboard price and mix, and a 1.5% increase in volume, or 3.3% on a per day basis. Overall on a per day basis, wallboard sales increased to 20.8% with volume gains reaching 5.5%, together with 15.3% in price and mix. On a unit basis contribution from acquisitions and strong residential volume more than offset lower commercial activity. Given recent supplier pricing actions, our average realized wallboard price has gone up sequentially each month since last September, with the first quarter fiscal 2022 average of $356 per 1000 square feet up 8.4% from the fourth quarter and up 14.5% from the first quarter of last year. Having received notices of additional impending manufacturer price increases, we expect this upward trend to continue at least into the second quarter. Ceiling tile and grid sales of $138.1 million increased to 20.4% year-over-year, and 16.8% on an organic basis comprised of 13.2% of price and mix and 3.6% from higher volume. On a per day basis, net sales of ceilings were up 22.3% year-over-year, with 5.8% realized through volume gains and the benefit from acquisitions. Steel framing sales of $196.3 million increased 77.6% as steel prices were up more than 70% as compared with a year ago. On an organic basis, steel framing was up 68.7% comprised of nearly 68% benefit from price and 0.8% on increased volume. On a per day basis, steel framing sales were up 80.4% including a 9% increase in volume, including the benefit from acquisitions. Sales of complementary products in which we have placed increasing emphasis internally is one of our primary drivers of growth from 27.4% to $317.6 million for the first quarter, as we've benefited from positive contributions from acquisitions, continued strength in our Canadian business and strong pricing in certain product categories. On an organic basis sales of complimentary products were up 18.1%, the daily net sales up 29.4%. Gross profit of $335.8 million increased to 28.9% over a year ago, as gross margin performed better than expected coming in at 32.2% or 30 basis points behind last year's level. Price cost dynamics principally related to the timing of the implementation of price actions with a normal driver of this performance. Turning to Slide six. Adjusted SG&A expense as a percent of net sales improved 200 basis points year-over-year to 20.2% a significant product inflation outpaced increases in operating costs. All-in-all, first quarter adjusted EBITDA of $128.1 million was 54.2% higher than a year ago and adjusted EBITDA margin improved 200 basis points year-over-year to 12.3% for the quarter, representing an incremental margin of 18.8% several points higher than our earlier projection. Slide seven references our cash flow dynamics during the quarter as well as our balance sheet and liquidity position. As it is typical during our first quarter, we recorded a use of cash from operating activities and free cash, albeit at a heightened level in this environment. These amounted to $75.1 million and $81.9 million respectively as we work to ensure product availability amid an environment of tight and less reliable supply and as we proactively manage inventory levels in certain product categories, where further manufacturer price increases were expected. The significant increases we had in our revenues during the quarter also drove the use of cash related to accounts receivables. Looking ahead, we do expect to generate improved levels of free cash flow, particularly in the back half of the fiscal year as these dynamics normalize, which is also typical of our normal quarterly cadence. On a longer term basis, we continue to [indiscernible] through the cycle objective of generating free cash flow in the range of 40% to 50% of adjusted EBITDA. Capital expenditures of $6.8 million, compared to $4.7 million in the prior year quarter. We continue to expect full year fiscal 2020 to cash capital expenditures to total approximately $30 million to $35 million. As of July 31, 2021, we had cash on hand of $43.6 million and $354.6 million of available liquidity under our revolving credit facilities. Our net debt leverage at the end of the quarter was 2.7x down from 3x a year ago, but up slightly from the end of fiscal 2021, principally due to the funding of our Westside acquisition on July 1. Our balance sheet remains healthy and our liquidity position for those ample resources to continue to pursue of our strategic growth priorities. Now, let me turn the call back over to JT before we open the line for questions.
John Turner: Thank you, Scott. We are off to a great start in fiscal 2022. Before making my closing remarks, I'd like to highlight how we believe the second quarter is shaping up. Despite some delays by builders, we expect to see continuing solid demand in residential and for our complimentary products plus price inflation is expected to continue across many of our product lines. As a result, we currently expect to generate year-over-year net sales growth for the second quarter of approximately 30%, slightly up sequentially from what we saw this quarter. In terms of profitability, given the expected continuation of pressured price cost dynamics, we expect second quarter gross margin to decline sequentially to around 32%. Meanwhile, we expect continued favorable operating expense coverage, yielding an incremental adjusted EBITDA margin in a range of 15% to 20%. Looking further out, we remain confident in the steps we're taking to ensure further and sustained growth. There's fundamental support for continued strength in the residential market, with favorable demographics, historically low interest rates and low levels of inventories to service the demand. While the timing of the return of larger scale office projects is uncertain, we are seeing favorable activity in other areas of our commercial business. We also expect the current inflationary trends to continue through the balance of this year. Given these dynamics, we intend to remain agile and deploy our resources to align with the highest value opportunities. Moreover, as we stay focused on executing daily in this unique environment, we also remain committed to our four key strategic objectives to deliver value to all of our stakeholders in the long run. GMS is well positioned now and for the future. Our scale, best-in-class, customer service and entrepreneurial culture set us apart and differentiate us in this market. With a strong balance sheet, substantial liquidity and a history and expectation of strong cash flow generation, we are squarely focused on servicing our customers and driving shareholder value. Operator, we are now ready for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Trey Grooms with Stephens.
Trey Grooms: So, I guess first-off, could you talk a little bit about the puts and takes around the wallboard volume in the quarter. [Indiscernible] res being pretty good and non-res continues to be a drag. But, wallboard volume being up 1.5%? If you look at some of the industry manufacturer kind of volume we saw and granted, I know there's differences in timing, and that that sell in not sell through. In geographic, there's a lot of moving parts. So I guess if you could maybe help us unpack that wallboard volume in the quarter of 1.5% that kind of puts and takes.
John Turner: Sure. First of all on the wallboard manufacturer data, right, if you're looking at a Q2 number that included April. So that's a little bit different, versus our timing. But from a purchasing perspective, we feel very, like our share is right in line and we're gearing up for a busier season going forward. On a daily basis. 3.3% is kind of the same story we've been telling, which is very strong residential and weak commercial. We're about 14, 15 months into the end of this pandemic and that the larger commercial projects have been pushed, they continue to be pushed, there's a lot of inflation out there. And a lot of projects that has started don't really need to start. All that being said, we think that's going to get a little bit better. But in essence, if you're looking at, double-digit residential volume growth and high single digit commercial volume declines and that's kind of where we've been through this whole cycle. We're also rolling over what I would tell you is the previous year quarter on the commercial side a little stronger because bouncing out of the shutdowns in April. You'll remember that, commercial projects that were already going May, June, July quarter last year, we shipped a lot of wallboard before it started to decline a little bit again on the commercial side. So if we kind of have that comp going to but 3.3% on a daily basis is kind of right in line with where we've been, a slight bit lower possibly. Because residential also wasn't quite as strong on the volume side as it had been this quarter with a little bit of that hiccup you heard some of the builders talk about the lane, talk about building differently to try to make sure they understood their costs, et cetera, et cetera and we felt a little bit of that. But at the end of the day, I think we feel like we're pretty much right in line when it comes to wallboard with the market.
Trey Grooms: Perfect. That’s what I needed, thanks for the color there, JT. And then, on the margins, I mean the EBITDA margins are coming along very nicely here. Even despite some headwinds, you're talking about on the price cost front especially around wallboard with the additional pricing that has been announced in wallboard from some of the manufacturers out there for September, what's your thought around price cost over the kind of more medium term. I know what you guided to in 2Q with the incrementals overall. But, how are you thinking about that part of the business or that part of the equation when we're looking a little bit further out. Because I understand it takes some time to kind of catch up with some of this pricing especially as quickly as we've seen it move higher. So any color around that would be great.
John Turner: I think that I sound like a broken record here now for this -- through this price increase period with wallboard and that it's three to six months to get it through the market. I think you can see in our absolute pricing that we're putting it into the market. But again, like I mentioned last quarter, we need to be a good supplier to our customers, we need to be fair with our customers. And so we're not trying to make our customers absorb costs that they can't pass through on their projects. And so here we go again with another September, October price increase. I think we had thought possibly this last one might have been the end of it based upon what the demand situation look like plus the fact that there's four or five of them already in but here we go again. So we'll probably have the same lag and eventually when all the price increases stop, we'll catch it and then the margins will normalize in wallboard at that point in time.
Trey Grooms: Yes. All right, fair enough. I'll pass it on. Thanks for the color. Take care.
Operator: Thank you. Our next question is coming from the line of David Manthey with Baird. Please proceed with your questions.
David Manthey: JT, I'm interested in, you made a comment in the slides regarding supplying teams with data to make more informed business decisions. I wonder if you could just outline a few of those for us.
John Turner: Sure. We've been investing in FP&A and Scott brought quite a bit of proficiency in that area with him when he got here and I'm a big proponent of that as well from my history and background. It’s been a lot of work internally on our systems to be sure that we can access data after all of these acquisitions over the years. And we've made quite a bit of progress on that. And so, we use Microsoft Power BI. And for our sales teams, now we have a fully functioning business intelligence tool that our sales leaders and our sales, people can access mobily, they can get it on their phone, they get on their iPad, they can get it on their laptop, and they can really understand their mix of business, their customer mix, pricing situations, margin situations, et cetera and make more informed decisions. We continue to provide information we talked about before, our structure is kind of a center led federated model. So our view is provide the very best information that we can, solid analysis to our teams, and allow the people on the street that are right in front of the customers to make those decisions. So really, that's what we're talking about and pretty excited about the continued improvement in our FP&A group. And the expectation of better information for our people in the field going forward.
Scott Deakin: There's one other example, Dave, as well operationally in terms of the use of our fleet, we're now capturing real-time data in terms of essentially the cost of the shipments we're making. So we can understand the relative profitability as we go forward, factor that into our pricing decisions or quoting activities, et cetera and that data is really meaningful, it captures not only fuel with maintenance costs, logistics costs, all of that and really gives our operating teams and those who are quoting business a lot more of an understanding of what's going on with regard to the logistics of the business.
David Manthey: Okay. Thank you. Second, you outlined the dynamics from the wallboard side in terms of the price increases and then the catch up that you experienced. Could you share with us any thoughts on steel? I think steel prices have kind of flattened out here? I don't know if structural steel is the same. But could you just talk about that dynamic as we look forward to next quarter? What your expectations are there?
John Turner: Sure. I think that you're talking about rolled coils kind of stabilizing. And we're seeing that as well. But we as an industry are still trailing by several months, the inflation in the actual raw material that's headed to the former's and so we expect another quarter of inflation similar to this one. And we've experienced sequentially through the quarter that inflation and so it's kind of baked into those numbers we've given you for the next quarter. But we think steel in our particular case, probably has at least a quarter, or maybe two quarters left in it, depending on what happens with the raw material from where it is right now. Now we don't -- we also studying that raw material situation and discussions with mills and people familiar with that industry. We don't see a lot of deflation coming anytime soon. Although the eventuality is, at some point in time, steel will revert to some mean. But perhaps there's a little bit different environment than there used to be in steel as well. But for now, it's the next couple of quarters we think is just going to be kind of a continued steady inflation in steel.
David Manthey: Very helpful. Thanks very much.
Operator: Thank you. Our next question is coming from the line of Mike Dahl with RBC Capital Markets.
Mike Dahl: Just going back to the pricing commentary and your comments on being fair to your customers. Have you seen, are you expecting to see any pushback from price increases given the magnitude that's been coming through the channel? And between your residential and your commercial customer mix, is there any notable variation between pricing power?
Scott Deakin: Well, there's always pushback regardless in a price increase situation. I do think that there's some weariness out there in wallboard for sure. I mean, we just keep every quarter we're going out there and having to take additional pricing. And that's very difficult for people to plan with. On the commercial side, it’s a little easier because we can “with escalators” based upon the expectation of when that project might be happening. But on a day-to-day basis, and on the residential business, in particular, builder business in particular, they're buying a house every day, right multiple houses every day. And so they've had to try to bake those prices in going forward. And that's where it's a little more difficult. And that's where we'll get the majority of the pushback. And again, we'll have to wait and see how this one comes in. And how much pushback there is in the marketplace for it. But you asked for the differential, it's a little easier to quote higher prices out into the future for commercial than it is for builder world.
Mike Dahl: Understood. Appreciate the color there. And just my second question, how much of an improvement if at all are you seeing on the product availability side or general kind of supply constraints impacting your business? The inventory stepped up quite a bit this quarter, but obviously inflation and M&A could be distorting that. So just any color on what you're seeing on that part of your business.
Scott Deakin: Yes. I think that through the quarter, the situation improved in wallboard. I think there was a little bit of a soft patch in wallboard. And there's multiple discussions around it and R&R slow down a little bit with -- in the beginning with people going back to work. And that R&R capacity found its way into our channel. There's some discussion around the builders having slowed down a little bit, commercial still being soft, but we feel better about wallboard availability for sure there's still some specialty products that are really, really difficult. Anything that's class based, is still very, very difficult for the whole industry to get their hands on in wallboard. But we did go ahead and use our balance sheet and load up in expectation of the quarter, and of course, additional pricing actions as well. So we want to make sure we've got the inventory at the right costs for our customers. On the field side, lead times have stopped extending, but they're still extended. So you're still looking at extended lead times in steel today. And so there's not really a lot of relief in the supply chain and steel. And then, depending on the other product category, complementary products, installation is really difficult right now. Lumber has certainly freed up quite a bit, as you can see and is evidenced by the price of lumber. But installation, I would say probably call installation out is still being really, really constrained. Other than that our ceilings manufacturers doing a great job getting us products that we need. Grid has now become available as well, some steel hit the grid producers as well. So, I wouldn't say anything other than glass products and insulation. Those are still acute issues in steel. I think we're learning to live with 710 type week lead times.
Chris Kalata: Understood. It's very helpful, and congrats again.
Operator: Thank you. Our next questions come from the line of Sam Darkatsh with Raymond James.
Sam Darkatsh: And again, I would like to again reiterate terrific quarter, especially on the pricing side, goodness. Couple of clarification questions if I could. Scott, where is the current wallboard price running for you right now here, August, September versus the $356 average in the first quarter?
Scott Deakin: We ended the quarter at $330. So that's a -- 
John Turner: Previous - that's a previous quarter. We ended this quarter at $370.
Scott Deakin: I'll say at start of season, $370.
John Turner: So we exited $330 and we exited $370.
Sam Darkatsh: And here in August, I'm guessing it's higher than that?
John Turner: Yes, marginally. We're not at that price point yet and we're not at price increase yet, so marginally.
Sam Darkatsh: Got it. And then my second quantification or qualification question, the 30% growth that you're expecting in the second quarter, how much of that is organic volumes expected to grow or are they expected to grow based on the fact that the wallboard and the steel framing volumes are a bit softer of late?
Scott Deakin: So couple of three components, you got the volume piece, you got the price piece and then you got acquisitions, acquisitions are probably in the ballpark of $70 million, $75 million. The volume piece is relatively thin and most of it is really coming from price on a sequential basis or sort of on a year-over-year basis.
Sam Darkatsh: Can I ask where you would see growth in volumes and where you might not see growth in volumes in the second quarter?
Scott Deakin: I think it's still going to be coming from residential is going to be the principal driver. We don't expect the commercial side to be coming back certainly in the second quarter.
Sam Darkatsh: But from a product category standpoint?
Scott Deakin: Well, ceilings and steel are obviously more aligned to the commercial side, so I think that's going to be the driver there, wallboard is split across the two. So similar to what you saw in this last quarter, where roughly the residential piece was offset by the commercial piece on a one-for-one basis, so I'd expect that to continue.
Sam Darkatsh: Very helpful, and again, terrific print, very well done.
Operator: Thank you. Our next questions come from the line of Keith Hughes with Truist.
Keith Hughes: Thank you. Questions on the ceiling price mix, I mean, extremely high here. Was there any specific situation particularly on mix may have made this quarter a little bit of an outlier or is this something we're going to see for the near-term?
John Turner: Keith, you're hitting on something there that's pretty good for us, and I talked about data a little bit earlier as well. Our architectural specialty sales are really -- have been very strong. And we've been focused there now for -- I think we've been talking about it for well over 18 months. So there is definitely a little bit of a mix impact there. But otherwise, it's just a grid, your inflation in grid and then the higher value tile projects shifting. So that can ebb and flow as you know. But the only real strategic change there is we expect to continue to do very well with architectural specialty ceilings.
Keith Hughes: And that sounds like share gain for you, is that what you're saying?
John Turner: It is in that category based on the North. The only public information we have obviously is one public company that reports there of their mix in architectural specialties, we are growing. So I would venture to say that if you extrapolate that we're hoping, certainly we're growing our share in that space. And anecdotally, everywhere we go and we talk to our sales teams, it would appear that we are gaining some share in architectural specialties.
Keith Hughes: My final question is on complementary products, this has been just a great growth story for you of the organic growth number, is there any way to break out how much of that is volume and how much is price? I know there's a lot of products in there. Is there any sort of feel you can give us on that?
John Turner: Yes, I mean there is 70%, 80% price right now probably, right, is now we're seeing, Scott?
Scott Deakin: Order of magnitude, I think you're right, I mean there are so many different product lines, so many different SKUs to be able to get it that with any real clarity, but on an order of magnitude basis, that's about right.
Keith Hughes: Okay, thank you very much.
Operator: Thank you. Our next questions come from the line of Steven Ramsey with Thompson Research Group.
Steven Ramsey: Hi, good morning. Wanted to get some more color on the SG&A leverage, very impressive. Maybe can you talk to what's driving that in Q1, what key measures you're taking in the next few quarters to keep this going, if it's specific discipline or just purely the volume and price leverage driving sales off of the cost base?
Scott Deakin: So, most of it by far is the fact that we've got the air cover from a product inflation standpoint covering the product costs. The only real increases we've had are else some related to fuel, the incentives that you might find out in the field from a sales comp bonus standpoint just associated with the performance, some slight inflationary pressures and some of the operating costs. But if you really strip that out, we really are deleveraging actually pretty minimal on an operating basis, which I think speaks to the discipline we're continuing to maintain. Obviously through COVID, we took some pretty proactive measures put in place some real discipline on how we're managing the business from an operating basis and we're keeping with that as we go through this. So -- and we'll continue to do that into the second quarter or in the rest of this year, but most of what we're seeing in the ballpark of 270 basis points has really benefited from that product inflation covering our operating expenses.
Steven Ramsey: Okay, great. And then one comment I want to circle back on you guys, discuss pricing fairness to customers. For competitor actions, do you think similar to yours in this or just focus on fairness is that allowing you to gain some share?
John Turner: Well, over time, I think trying to be the best company we can be for our customer base is always the best, is always the best thing and will earn us the loyalty that we have in so many cases today. I can't comment directly on whether or not that's matched by our competitors. I think that we have pretty good competitors for the most part out there, and I think everybody is trying to do the right thing in this environment. And I don't think anybody wants to take and saddle the contractor with the cost that they can't pass through. And so that's really the -- in wallboard, that's really the struggle is how do we get that done and how do we continue to communicate and constantly bring our contractor customer base up to speed on what's happening with wallboard prices. So, and that's why I talked about exhaustion and fatigue a little bit. It's just -- it gets difficult to have that six conversation now every other month, it just gets difficult for everybody to have that conversation. But I don't think we're doing anything dramatically different in that regard out in the market. But I think overall, our philosophy is to do the right thing and you can never go wrong doing the right thing, something we always talk about. So kind of our general philosophy when it comes to running the business.
Steven Ramsey: Great. Thank you.
Operator: Thank you. Our next questions come from the line of Kevin Hocevar with Northcoast Research.
Kevin Hocevar: Hey, good morning, everybody and nice quarter. Wondering if I could ask on the gross margin front, I think I believe last quarter you guys guided to gross margins being kind of stable sequentially, which I think was 31.5%, you were about two months into the quarter at that point, and you ended up -- you posted 32.2%, so came in well above expectations. So I'm curious what changed in that last month that kind of allowed gross margins to top to come in much better? And then it seems like the exit rate would be better, but the guidance for the second quarter is that gross margins come down. So I'm curious your thoughts there too on what would cause that to then whatever helped this most recent quarter kind of reverse out next quarter?
Scott Deakin: So what you got a lot of moving pieces going on with regard to gross margin, you got inventory timing, you got commercial timing mix, commercial realization, et cetera, all those things are constantly moving pieces. I'd say the, maybe the principal one that was the difference for our outlook at that time versus now is what's been going on with steel and the dynamics there and how quickly that inflation has been coming on and the associated inventory dynamics as you take product out of inventory and ship it. All those kinds of timing kinds of considerations are probably the biggest factor. In large part, we work to try to factor all those things in, but that steel inflation has been pretty high over the course of that time period and I'd say that was the biggest determinant.
Kevin Hocevar: Got you, okay. And then on the -- just quickly on the inventory front, it looks like they were up 67% in the quarter. Do you know how much of that is in -- is units versus pricing?
Scott Deakin: It's hard to fully nail that down. I can tell you, if you look at just the general trends, we're pretty comfortable that we're still staying in that kind of range that we've been talking about that 17% to 18% sort of range, and you'll see a little bit of tick up in the near-term here, but that should equalize itself out over the coming months and into the main part of this year.
Kevin Hocevar: Okay, all right, thank you very much.
Operator: Thank you. Our next questions come from the line of Matthew Bouley with Barclays.
Ashley Kim: Hi, this is Ashley Kim on for Matt this morning. So just going back to the gross margins, should we think about the pricing is offsetting on more of a dollar-for-dollar basis or do you expect to eventually get some margin there as well when it flows through?
John Turner: Well, I think we've always talked about kind of a long-term view of gross margin, 32.5% somewhere in that range, right. So we're not that far away from what we think is the normal long-term margin for the business on the gross margin side. Can we do a little bit better over time, possibly, depending on product mix of what we do with our complementary group for sure. But yes, as you chase it up, right, when it levels off, we would expect it to begin to catch up a little bit as it levels off and we get it out into the marketplace in wallboard. On the other side on steel to Scott's point, we've done a fantastic job. Our team in the field has done a fantastic job of communication with the customer base to ensure that they understand what's happening and that we price products appropriately. And so on the steel side, we're already kind of approaching what I would say is that peak as it was mentioned earlier with steel raws kind of leveling out, you could have the opposite impact there as well. So I wouldn't think that -- I don't want to give anybody any kind of indication of the long-term gross margins at the moment based upon what our product mix is and our strategies are is going to be much above 32.5%, I do think there's other parts of the business that we can continue to work on. We've talked about that longer-term EBITDA goal being north of 10%, of course, we're there right now with some unique circumstances, but for full-year above 10%, I do think we're on our way to being able to do that.
Ashley Kim: Okay. And then can you just speak more about your progress on e-commerce, has it had any notable efficiencies just given the constrained supply chain backdrop that we're seeing today?
John Turner: I'll talk a little bit about e-commerce kind of our strategy is to automate the relationship that our customers have with us today from order entry if they'd like to all the way through payment and really try to, in the middle, there is a lot of noise in the middle that goes on with like phone calls and emails about where's my order, has it been delivered, et cetera, that automation is all happening now. Are we getting -- we're getting a lot of uptake in the use of that middle portion and then also in the payment of their -- of bills. So that part of e-commerce come along really well. Order entry itself, we continue to hear from our customers that they're happy to send us a PDF or they're happy to generate an automatic purchase order because that's what their systems do. And they're not really very interested in going in and rekeying that order. The smaller players are certainly interested in doing some of that, but the larger players certainly are not, but the larger players are absolutely using the system now to manage their account with us. And so we're seeing that get better and better every month.
Ashley Kim: Okay. Thanks for the color and congrats on the results.
Operator: Thank you. There are no further questions at this time. With that, we do appreciate your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.